Operator: Thank you for standing by. And welcome to the DoorDash Q4 2023 Earnings Call. I would now like to welcome Andrew Hargreaves, VP of Investor Relations to begin the call. Andy, over to you.
Andrew Hargreaves : Thanks, Mandy. Good afternoon, everybody, and thanks for joining us on our Q4 2023 earnings call. I'm very pleased today to be joined by Co-Founder Chair and CEO, Tony Xu; and CFO, Ravi Inukonda.  We'll be making forward-looking statements during today's call, including our expectations for our business financial position, operating performance, our guidance, strategies, capital allocation approach and the broader economic environment. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described. Many of these uncertainties are described in our SEC filings, including Form 10-Ks and 10-Qs. You should not rely on our forward-looking statements as predictions of future events. We disclaim any obligation to update any forward-looking statements, except as required by law. During this call, we will discuss certain non-GAAP financial measures. Information regarding our non-GAAP financial measures, including a reconciliation to the most directly comparable GAAP financial measures may be found in our earnings release, which is available on our IR website. These non-GAAP measures should not -- should be considered in addition to our GAAP results and are not intended to be a substitute for our GAAP results. Finally, this call is being audio webcasted on our IR website. An audio replay of the call will be available on our website shortly after the call ends. Mandy, we'll pass it back to you, and we can take our first question.
Operator: The floor is now open for questions. [Operator Instructions] Our first question comes from the line of Michael Morton with Moffett Nathanson. Please go ahead. 
Michael Morton : Hi, good evening. Thanks for the question. First one for Tony. And then a second one for Ravi. Tony, I would love to hear your thoughts on what you think the future structure of the grocery market looks like. As order density increases on a store level, some industry participants think you might see more growth in the merchant picked model and also like consumers demand more speed. That kind of plays to your advantage with the Dashers. Would love to see how you see that evolving? And then for Ravi, we get a lot of investor questions on the ability to leverage sales and marketing on a per order basis. It seems like it might have slowed down just a tad in the fourth quarter and then looking at the forward guide. Could you talk a little bit about the opportunity to continue to leverage sales and marketing? Thank you.
Tony Xu : Hey, Michael, it's Tony. Regarding your question on grocery, I think it really depends on what it is that you're trying to build in terms of for the customer. I mean if you think about it, a customer is going to evaluate across several dimensions. They're going to evaluate what grocers they can order from how good the order quality is in terms of if they order ex items, do they get exactly of those ex items, the affordability of the service and obviously, what happens with customer support, especially if things don't go perfectly.  And so we're always judged on those dimensions, and we're always building initiatives towards that. And a lot of this is still really nascent. If you think about DoorDash's entry into the grocery space, which happened about three years ago, we really started by nailing this top-up use case, where we're solving the middle of the week run and delivering the items that are consumed the most often, your berries, your dairy products, your cereals, your coffee, et cetera. All of that was done in concert with fantastic grocers.  We're now shifting a lot of the work towards solving bigger baskets. And so that is just solving for a different use case for the consumer. And I think we're also going to have to do other things, too, because when I just look at the structure of grocery, most of the behavior for consumers still happens off-line where consumers are purchasing groceries inside physical stores. And so that tells me that we still have -- as an industry, a long ways to go to getting a product good enough such that it can replace the offline experience. All of this is going to be done in concert with grocers. And again, it's this kind of continuum of where we want to make sure that we can solve for more than just one dimension. Speed is one of those things, but there's going to be other factors that we have to get right as well.
Ravi Inukonda : Hey, Michael, on the second point on sales and marketing, right? I'll break it into two parts. First, we'll talk about the Q3 to Q4 and then talk about the forward looking, what we expect in 2024. Q3 to Q4, we did generate leverage on consumer acquisition. The change that you're seeing is largely related to Dasher acquisition. That was purely to support the higher growth that we saw in as well as, as you know, there's some seasonal effect from a Dasher acquisition cost in Q4 in order for us to be able to continue to supply to the volumes that we had in Q4. As I look at it, right, when I think about overall leverage from a sales and marketing perspective, two frameworks here. One is we are trying to maximize sort of like payback periods, and our goal is to continue to be within the payback period. You're not looking at the absolute level of dollar investment. We're still within the payback periods on the consumer side. We are still acquiring a healthy level of consumers. Over half of the new consumers in the U.S. today start their journey with DoorDash. So that's going to be a continued way for us to continue to drive growth. On the second one, when I think about overall leverage, it purely starts from product. What you've done -- we've done in the last year or so is we've continued to drive improvements in the product, whether it's on the dasher side or the consumer side that ultimately improves retention. As the retention goes up, you'll start to see benefits from an overall sales and marketing perspective also.  So when I look at 2024, we do expect to generate leverage from an overall sales and marketing.
Michael Morton : Thank you. 
Operator: Our next question comes from the line of Nikhil Devani with Bernstein. Please go ahead.
Nikhil Devani: Hi, there. Thanks for taking the question. I had a couple, please, on the '24 outlook. So first off, on the GOV guidance, it looks like you're calling for a few points of deceleration, Q4 into Q1 and then for the year more broadly. So could you please talk about what you might be seeing in the business that's driving that outlook? Is that a reflection of the core U.S. marketplace in restaurants or a trend that you're consistently seeing across segments? And then for my second question, on the EBITDA outlook for the year, I think the letter mentioned a ramp in margins in the back half of '24. So is this something you can call out, Ravi, on maybe specific investments that you might be leaning harder into in the first half. Just wondering what drives the comfort and visibility into more meaningful margin improvement in the back half of the year? Thank you.
Ravi Inukonda : Yeah, Nikhil, I'll take both of those, right? On the first one on the growth point, I mean, just to back up a minute, right, our goal is to grow as fast as we can within the disciplined parameters that we've set for ourselves. I mean, look, we've been public for three years now. We've driven consistently strong growth every single quarter.  What you're seeing in the business is even at our scale, if you look at our overall MAUs, they're growing at a double-digit rate. We've hit $37 million, which is an all-time record for us. Even order frequency continues to grow. When I look at the opportunity either on the users or the order frequency side, the users that are active on the platform are still a small portion of everybody who's used the app at least once in the last year. That just goes to show you the breadth of the opportunity ahead of us. Similarly, on the order frequency side, I mean, the blended order frequency is still very low compared to the number of usable movements we have, especially if you think about all the categories that we are adding in the business. What you're seeing in the business is that we are continuing to drive selection as we're making the product more affordable as the quality continues to increase. You're seeing that strength come through, whether it's retention or order frequency, both are continuing to grow. Our goal is as long as we continue to make the product better, I'm very confident that we're going to be able to drive strong growth across restaurants, new verticals as well as international. And to the second point around EBITDA, again, look, Nikhil, I mean, we've been very pleased with the performance of the business. We've scaled profitability quite nicely if you look at it over the last couple of years. What you saw in '23 is a few things, right? We have generated volume improvements through the course of the year. We have driven unit economic improvements across all major lines of business.  When you put those two together, you saw the second half EBITDA being higher than the first EBITDA, which is very similar to what we saw in the prior year in '22 as well. When I look at '24, I would expect the trend to be very similar, where the second half EBITDA is going to be higher than the first half EBITDA. But more importantly, our philosophy is we're going to operate the business with the same level of rigor and discipline with the goal being trying to drive durable growth and at the same time, improve the profitability of the business. And to the specific factors around first half versus the second half, we are investing in the first half. I mean the investments are, we are seeing strength in restaurants, we're seeing strength in new verticals, we're seeing strengthening on our national business. You can see that in the results, both from a growth as well as a profitability perspective. I do expect those investments to generate leverage in the second half. And secondly, if you have volume continuing to scale, plus the unit economics continuing to improve, you're going to see more of the EBITDA in the second half versus the first half. And even from a margin perspective, I would expect the second half margin to be higher than first half as well as the full year. But just to pull back a minute, right, I'm very pleased with the full year guide for EBITDA because, a, we are driving margin improvement; and b, we are driving overall profitability improvement quite considerably.
Nikhil Devani: Thanks, Ravi. 
Operator: Our next question comes from the line of Deepak Mathivanan with Wolfe Research. Please go ahead.
Deepak Mathivanan : Great. Thanks for taking the question. Tony, I wanted to see if you can elaborate on the key areas of investments inside international and new verticals, maybe in terms of countries and products. As you kind of scale these efforts, how should we think about the contribution margin curve of these initiatives versus what you saw in maybe the core restaurant business or even the convenience business over the last three to four years? And then maybe one for Ravi. On 4Q EBITDA, I know you don't always aim to beat the high end of the guidance consistently. Did you observe any sort of change in the margin trajectory of the business? Or anything you would call out as maybe one or two initiatives that drove investments higher during the quarter, perhaps in the last couple of months? Thanks so much.
Tony Xu : Hey, Deepak, it's Tony. I'll take the first one, which is about investing into international and also into new verticals. So on international, we really are investing across the board with a fairly similar framework, which is really finding product market fit and then finding an efficient way to grow. And in certain markets, it's more about the former. And the majority of markets is more about the latter. But there are markets that are younger in the portfolio.  I mean, I would say, across the board, the penetration levels in terms of our coverage of consumers as well as the merchants that we have remaining to serve is still quite low, certainly lower than where we are in the U.S., but even lower, I would say, to where they can be given the runway that we see. So it's really about making sure that we're efficient and disciplined in investing across whether we are in search of product market fit and improving that or whether we are scaling that quite nicely, in which case you see both an improvement in growth retention as well as unit economics. On the new vertical side, I mean, I think this has been just yet another quarter of continued strength. I mean, the growth on a bigger base has accelerated now three quarters in a row. That's really coming from across the board, investments into grocery, the convenience category, DashMarts, retail. So really, we're seeing improvements in growth, retention, unit economics across all major lines within our investment areas.  There's lots of work -- so I don't -- that would probably take much more than the hour to discuss with respect to products that we're working on. But all of them are trying to better the selection that we offer, the quality of the service, the affordability of the service and the customer support levels.
Ravi Inukonda : Hey, Deepak, it's Ravi. I'll extend Tony start on the first question, and then I'll take the second question, right? Like we -- to your point around margins across the investment areas. What we're seeing in the business is really strong performance, not just across growth, but when I look at the unit economics, there's been a material step function change improvement, both on the new vertical side as well as the international side. And to your specific question on the contribution margin, if I look at the basket of our overall international business, there are several countries where the core restaurant business is actually contribution margin positive and still a lot of runway for both growth as well as improvement in the margin structure. And your second point, Deepak, around Q4. Again, I mean the performance was great, right, like nothing specific that we would call out. What you're seeing is volume continuing to grow. In fact, new verticals, the volume actually accelerated in Q4 compared to Q3. Grocery was a bright spot where grocery volume also accelerated in Q4 compared to Q3. International volume continues to be very strong, and we're also seeing unit economic improvement. That's basically what drove the performance both on the top line as well as the bottom line in Q4.
Deepak Mathivanan : Thanks so much. 
Operator: Our next question comes from the line of Bernie McTernan with Needham & Company. Please go ahead.
Bernard McTernan : Great. Thanks for taking questions. Maybe just to start the New York City minimum wage. I saw you guys put through some price increases. Just wondering how you expect it to impact 1Q and the year. And then if our math is right, I think you guys added 5 million DashPass subs in '22, 3 million in '23, over the next year or two or maybe a couple of years, how big do you think DashPass can get -- and any commentary on early benefits of Wolt+ if it's been a contributor to the base?
Tony Xu : Sure. Bernie, it's Tony. I'll start and feel free to chime in, Ravi. First question is on regulation. I mean, by enlarge, the way we see the landscape is fairly similar to how we've seen it every year in the 10 years that we've been building DoorDash, which is most governments that we work with want to actually work with us and want to work with business. And they understand that in order for something like DoorDash to work, it has to work for all audiences. We're always trying to keep the most affordable prices for consumers. We want to maximize the sales for local businesses, and we want to offer the most number of work opportunities for Dashers.  The vast, vast, vast majority of places that we operate in work this way. I think there are a handful of markets, one of which you called out, New York City, that kind of takes policies to the extreme. And I think has had some adverse impacts against its wishes, which is whenever you see regulation enter the way it does in a place like New York City, what you see is cost rise for the overall system. So there are -- there's less accessibility to consumers, to your point about rising costs. There are lower sales for local businesses, and there are fewer work opportunities for Dashers.  And we largely expect that the vast, vast majority of cities will be fairly central in terms of how they think about working together with companies like ourselves. But there are a handful of markets in which have taken extreme policies. We don't expect that to change much in terms of the financial impact, all of that is reflected in our guidance. I think your second question was around DashPass. I mean, DashPass had a great year. I mean it was a record year in terms of its membership as well as the order frequency that we saw with DashPass subscribers. This includes Wolt+ as well. In fact, internationally, we actually saw the members for DashPass and Wolt+ double in the quarter. And so we're certainly seeing quite a lot of strength there. I mean the way I think about it is, I mean, there's 100 possible use cases per month for every consumer in terms of the categories and their consumption, whether that's eating or buying in retail.  Even for our best customers and certainly for the average subscriber, we're just a fraction of those use cases. So when I think about the runway, I think it's quite far. And if we can certainly serve every use case for local commerce, I think the subscriber base would be fairly healthy.
Ravi Inukonda : Hey, Bernie, it's Ravi. I'll just add to Tony's point around New York City. As you can see from the Q1 EBITDA guide, we are absorbing some of the regulatory costs in Q1. I do expect that to ramp down as we ramp up efficiency as well as we take other actions in the marketplace.  And to your second point around impact on volume, again, it's a small portion of the overall volume in the business. So I would expect the impact on volume to be very minimal.
Operator: Our next question comes from the line of Andrew Boone with JMP Securities. Please go ahead. 
Andrew Boone : Thanks so much for taking my questions. I wanted to go back to the investments in international new verticals and better understand tactically what you guys are doing. Is the investments around improving selection? Is it on the consumer DASH or such? Just help us understand more directly what exactly it is that you're doing?  And then in the press release, you called out increased first-party distribution costs for COGS. Can you just talk about where you are with DashMarts and their progress towards profitability overall? Thanks so much.
Tony Xu : Hey, Andrew, I mean, I think you pretty much answered the question yourself, which is -- I mean we're investing in all the dimensions in which a consumer judges us, right? So we're adding selection to the platform. We've launched a lot of awesome retailers over 2023. Even this year, we launched with Ahold most recently here in the U.S. We're certainly helping to improve the affordability of the service, and there's lots of work to do there. We are working on improving the quality of the service. I mean I think the hardest challenge that every grocer faces, whether it's physically or digitally in terms of sales is knowing how much inventory they have on the shelves.  And that is one of the biggest reasons in terms of why sometimes consumers prefer to go and shop inside stores. And customer support is always something that we're trying to get better. And when I look internationally, I mean, it's similar, but it's across more categories. It's not just new verticals or retail, it's also across the restaurant sector. We're just a lot earlier there in terms of the penetration levels. We have a lot more places we have to launch. We have a lot more restaurants and retailers we have to sign up. We have a lot more work to do in terms of launching our subscription programs in the countries. I mean they've seen great adoption so far, but we're very early in terms of the launch.  And then we always have to make sure that we can make the product better.
Ravi Inukonda : Yeah, Andrew, I'll take the second question around DashMart. I mean look, we're really happy with where the footprint is. We've expanded the footprint a couple of years ago, just to make sure we have the volume density across all the markets that we operate in. Today, our focus continues to be driving same-store sales growth by better merchandising, continue to improve the overall product market fit. We have both retention as well as order frequency.  When you look at the performance of the business, I mean, we're really pleased. It's doing well compared to plan. Our goal is to continue to improve, a, both the volume in that business as well as continuing to drive unit economic improvement where we've seen material improvement compared to last year. As I look at 2024, our priority is going to be continue to keep the existing footprint while increasing volume as well as driving unit economics in that business.
Andrew Boone : Thank you. 
Operator: Our next question comes from the line of Brian Novak with Morgan Stanley. Please go ahead.
Brian Nowak : Hey, thanks for taking my question. I have two. The first one, Tony, on sort of prioritization of investments. I know you're very data-driven. And so when you sort of look at the grocery and new verticals, you -- you talked in the letter about adding more merchants, more seamless wording experiences, execution, pricing. When you sort of study the data, what is holding back adoption or driving churn or any of the negative you don't want to see. Where are sort of the pinch points you really want to solve first to try to continue to drive some strong grocery adoption in 2024? And the second one, Ravi, to go back to one of your earlier answers, we talked about, you called a step change function on new vertical unit economics. Just any color on sort of which of the areas of the business in the blocking attack in sort of drove that step change improvement in unit economics in the year? Thanks. 
Tony Xu : Hey, Brian, with respect to all of the barriers to adoption, I think there are a few, but I would start by saying that things in general are going pretty well. I mean we have over 20% of customers ordering in the non-restaurants category for the first time. I mean we're now north of 100,000 plus stores that are outside of restaurants that are on our platform, which we estimate to be the largest in North America. More and more grocers, retailers are coming inbound, and then similarly, more and more consumers are shopping for the first time in the grocery category on DoorDash even ahead of restaurants. So I think there's a lot of goodness to see. And if you think about what that's centered on, that's really been centered on the fact that we launched with this top of use case, which we effectively had to invent, if you think about it. People knew DoorDash really as a place to get lunch and dinner very quickly. And so we launched this product where you can get your middle of the week run done as fast as possible.  When you run out of eggs or cereal or your berries that usually isn't like the most fulfilling trip to go inside a physical store yourself. But it's also something you want to be done quickly. And so that's something that we've solved pretty well. At the same time, I think there are a lot of barriers. I mean, if you just pan out and look at the industry, I mean, digital sales or e-commerce penetration of grocery is still amongst the lowest, if not the lowest across all categories of e-commerce.  And I think there's many reasons. First is how do you make sure that you can get exactly what a customer wants delivered to their home. I mean if you look at one of the challenges that grocers have, whether it's through their physical stores or their online channels, it's not knowing how much inventory that they actually carry. There's other barriers around affordability. I think customers largely expect to pay similar to what they pay inside the store when they get something delivered. And when you look at selection, that's something that we're just working towards. I mean it's happening actually pretty rapidly and consistently where three years ago, when we just launched our service. We were working with maybe a couple of dozen of retailers now that's in the hundreds with hundreds of thousands of stores. So that remains a thing. And I think the final thing is that it's just going to take a bit of time. I mean, I think most people in the country or in the world know DoorDash and Wolt has a place to get lunch or dinner delivered. I think it takes some time to get everyone to know that you can get your city delivered. We've certainly made a priority bet on grocery. I think it's paid off really well. I mean we see it every day in the numbers in terms of growth, retention as well as improvements in unit economics. But look, it's a long ways to go. I mean, we're three years into it where we went from zero to multibillion, which we're excited about, but I think it's just the beginning.
Ravi Inukonda : Hey, Brian. On the second one, right, in terms of the step function change and improvement in unit economics, I'll start off by saying, like in these businesses that we operate, one of the more important things is scale. Because ultimately, scale as we saw in the restaurant business, that drives volume growth, which ultimately drives efficiency in the business.  If you combine that with the overall platform density that we have, whether it's quality where we're able to accrue benefits across the platform on improvements in credits and refunds or the dasher side efficiency. All of that is driving the improvements you're seeing in the unit economic improvement across both restaurants and honestly, across all parts of the new verticals portfolio. And there's many parts of the P&L that we are driving efficiency across the board. And the second dimension I would give you is when you think about the portfolio and break it apart, right, third-party convenience, we've talked about the fact that, that was unit economic breakeven a few -- several quarters ago. That business has continued to grow as well as improve in overall unit economics. Growth, we are seeing something very similar where the overall unit economics have continued to improve.  Look, I mean, I realize there's a question if these businesses are going to be profitable for us. But when I look at the data, I have no doubt in my mind that all parts of our new vertical business is going to be profitable overtime. But again, it's important to remember, we are still very early in the journey. We're seeing great signals across growth in volume. You saw that in Q4 where the business accelerated as well as growth in unit economics.  So our goal is to continue to invest because that will ultimately drive the free cash flow generation in the business.
Brian Nowak : Great. Thank you, both. 
Operator: Our next question comes from the line of James Lee with Mizuho Securities. Please go ahead.
James Lee : Great. Thanks for taking my questions. My question is mostly on grocery business. And maybe, Tony, can you lay out the plan or how you try to explain -- how you plan to expand the supply of grocers going forward? And what does that process maybe entail? Do you need to hire more salespeople? Maybe system integration to retailers? And also give a sense at what point can you get to the same size as your largest competitor? Thanks.
Tony Xu : Hey, James, yeah, I mean I would say that getting supply of grocers onto the platform has not been an issue for us. I mean, it's actually gone really well and really quickly. I mean if you asked me three years ago, do -- would we have thought that we would be north of 100,000 stores in North America from close to zero? I'm not sure. And if you ask me whether or not that we would have over 20% of customers ordering outside of restaurants. I'm not sure. And I think if you asked me, would these things continue to grow as quickly as they have. I'm also not sure.  And I think one of the reasons why it's been fairly straightforward in terms of onboarding these grocers is that they see in DoorDash, the largest local commerce base of users that are shopping with the greatest frequency, which means it's very highly incremental. I mean they've seen that with each grocer that we work with we conduct incrementality tests that continue to show that DoorDash is just adding more and more sales for them and also, frankly, solving new use cases that they had previously saw.  And I think they also see in DoorDash, a partner that they can build with decades or centuries into the future.
James Lee : Right. Tony, I can add on here. I think last time you talked about in terms of grocery in the app, you tried to improve the user experience, make it more seamless, that will help you to improve the fill rate and substitution rate. Any update on that specifically?
Tony Xu : Yeah, it's gone really well. I mean, I think the results kind of speak for themselves. I mean, we now acquire more customers than any other platform who shop in the convenience or grocery or alcohol segments than anyone else. I think we cited in Q3 that our grocery business is growing triple digits, which I think when you compare to peers suggest that we're outpacing by many multiples. So I think the numbers kind of speak for themselves. 
James Lee : Awesome. Thank you. 
Operator: Our next question comes from the line of Mark Mahaney with Evercore ISI. Please go ahead.
Mark Mahaney : Hey. I just want to ask about DashPass and Wolt+ members. When you think about the growth of that program going forward, this is a great customer retention, customer engagement tool. What are the things you can do to further accelerate the adoption of DashPass? Is it -- do you find it -- is it more features and functionality? Is it more competitive pricing or lower pricing? What is it that allows that subscriber base to double in the space of a couple of years. What do you think are the most interesting missing features today? Thank you.
Tony Xu : Hey, Mark, it's Tony. Well, I mean, I think there's a few things here with respect to membership adoption. I think the first is just making sure that members are aware of the savings that they're actually receiving. I think if you think about DoorDash, we have within our own ecosystem, hundreds of millions of customers who've ordered with us. But as you saw, we wrote in our shareholder letter that we have 37 million monthly active customers. And so there's a pretty large base who I think we have to meet them where they are in terms of their usage behavior and then make them aware of the possible savings that there could be. So I think thing number one -- job number one is really making sure that we can make all customers within the DoorDash and bulk ecosystem to understand the savings that they would be receiving. I think job number two is always increasing the value that members receive. And so that's something that we're always working towards and we'll add more and more benefits overtime.
Mark Mahaney : Okay. Thank you, Tony. 
Operator: Our next question comes from the line of Doug Anmuth with JPMorgan. Please go ahead.
Doug Anmuth : Thanks so much for taking question. Tony, you highlighted 7 million Dashers in '23. And it was good to see some of the details from the 4Q Dasher survey. Can you just talk to us about current Dasher supply levels and how you're feeling about Dasher satisfaction and then also individual Dasher earnings trajectory? And then second question on, anything you'd call out in terms of generative AI benefits thus far in the business around efficiency or anything on the new product side? Thanks. 
Tony Xu : Sure. Yeah, your first question, Doug, I believe, was on Dasher supply. I mean it's been the healthiest we've seen. And I think this is something that we called out in the letter, where it really is precisely because of the number one feature that we offer in the DoorDash platform has flexibility that there are such high levels of engagement, right?  I mean we have -- as you said, 7 million plus Dashers who earn over $15 billion in the year, these Dashers on average, only Dash about four hours a week, 90% of them Dash fewer than 10 hours a week. So they -- in the vast majority, north of 80%-plus of them have other full-time work. I mean it really is a complementarity to what they already do. So -- I think that's one of the reasons that you're seeing there. So satisfaction is high, engagement is at all-time highs, and it's been easier and easier for us to make sure that we can supply the roads. That doesn't mean that we don't have work to do, by the way. I mean we have a lot of work to do in making sure that the friction to use the app a lot easier. Making sure that we can create more earnings opportunities for Dashers. We launched some new payment models for Dashers for the first time in 2023 in a while. So there's a lot of work to both optimize as well as innovate and create new services for Dashers. On the second question, I think, was on generative AI and the benefits that we've seen. We've been working with a lot of these large language models for probably a couple of years at this point. They certainly do serve some benefits in areas where you see lots of structured information that digests nicely into these LOMs. And which then you can solve. I mean, if you see a lot of work that's been repetitive that it's done manually, for instance, a lot of that can be -- we've seen efficiency gains with generative AI. We're always trying to do our best to play with the newest technologies. But at the same time, I think a lot of times, the question I always ask myself is technology is a tool. We have to make sure we understand the job to be done. And apply their correct tool.  So I think with respect to generative, we have seen efficiencies in many areas. But I think it's something that's going to be explored for many years to come.
Doug Anmuth : Great. Thank you, Tony. 
Operator: Our next question comes from the line of Brad Erickson with RBC Capital Markets. Please go ahead.
Brad Erickson : Yeah, thanks. I guess first for Tony, when you think about adding that value to DashPass that you kind of just talked about a minute ago. Do you ever think about maybe partnering with anyone in kind of like an adjacent or even, say, different end market, for example? Or would that added value kind of be more likely homegrown, would you say? And then second, just for Ravi. I guess, a few quarters ago now, you've laid out a really nice chart highlighting kind of how your losses sometimes were going up on new verticals and geos even though your unit economics were also kind of improving at the same time.  So -- as we look at the guidance, are there a lot of end markets or geos where that's still kind of the case? Or I guess, are we reaching a point at some point where those two lines kind of start to go the same direction? Or is that maybe already happening? Just any color there would be great. Thanks. 
Tony Xu : Hey, Brad, yeah, on your question on Dash Pass and benefits of whether those benefits can come through partnership or build within. There's -- I mean, a portfolio of bets here, but it really starts within, I think, understanding our own ecosystem. We are fortunate that we have the largest local commerce space of customers in which we can offer these benefits. And I think when you think about the depth of use cases as well as the breadth of use cases. I mean there really isn't any category larger than eating and retail. And so I think job number one is we have to first make sure we do a great job with what we have. And I think if it makes sense to have certain partnerships, we'll certainly consider those. But I think job number one is just realizing how big of an opportunity we have within our own ecosystem and building the best products for our customers.
Ravi Inukonda : I'll take the second one on the overall investment level, right? Like look, I mean, we are not trying to optimize the business for an overall quantum of investment dollars. When you're thinking about operating the business, right? Our goal is to maximize long-term free cash flow per share.  What we're seeing in the business across both new verticals as well as international is volume is growing very nicely. In fact, I mentioned in -- to my earlier question to both Brian and Deepak, like volume is continuing to accelerate in the second half for our new verticals business, international business is continuing to grow. Combined with that, we are seeing improvements in unit economics as we drive efficiency across the P&L. You put both of those together, that strong signal for us both from a product market fit as well as a profitability perspective. Our goal is as long as we are continuing to see that strength as long as we're able to drive growth efficiently. We're going to continue to invest behind that, because that's a driver for long-term free cash flow generation in our business, and both of those I'm very confident are going to contribute to the overall profitability of the entire business for us.
Brad Erickson : Got it. Thank you. 
Operator: Our next question comes from the line of Ken Gawrelski with Wells Fargo. Please go ahead.
Ken Gawrelski : Thank you very much. Two, if I may. First, on the regulatory side, I believe most of the Wolt markets are currently independent contractor model with the exception of Germany. It seems like the EU platform work directive is going to be published any day. And do you expect to have to reclassify Wolt workers in Europe? And then the second one, is based is on the capital return side, based on the '24 EBITDA guidance and the renewed share purchase authorization, I was hoping maybe you could update us on your medium-term thoughts about capital returns? You talked about maximizing free cash flow per share. I know you talked a lot about what you're doing on the numerator. Can you talk a little bit more about the denominator there? Thank you.
Tony Xu : Hey. Ken, I can start. This is Tony. And Ravi, feel free to follow. I think on your first question, which is about regulation in the EU and the platform workers directive. Yeah, I mean, it's certainly an ongoing piece of work that regulators are coming up with. And I think the good news here is that they're doing it in partnership with industry and we expect a very productive outcome for everyone.  I think that, by and large, when I made my comment earlier to the -- I think there was an earlier question about regulation. I mean, there really are just a handful of cities across the world. So not just EU or U.S. or other places in which I think governments don't want to work productively with companies. I think the majority of vast, vast, vast majority scenario we've seen is that governments want to work with companies.  I mean, why wouldn't you? I mean, why wouldn't you want to increase the GDP of the local economy and create more work opportunities, more sales for local businesses and more accessibility for consumers. I think that every government recognizes that, that's a positive sum situation for their constituents. And we see that in the EU. We also see that in most parts of the world. I think your second question was around capital allocation. Maybe I can start and then Ravi, feel free to take the rest. In general, I mean, we're always trying to look to build products for customers. And we think that that's the best way to maximize long-term free cash flow per share. Obviously, to your point, there's two component parts to that. There's the first component in which we're doing our best to grow as fast as possible within a disciplined set of parameters that we set for ourselves. A lot of that isn't just a budget, but also just how we run the business and run different projects against their state of progress, whether they're in search of product market fit, there's a different set of operating metrics that we look at, if they're in a phase of scaling and looking for efficient ways to grow.  There's another set of operating metrics. If they are cash flow generative. There's another set of operating metrics we look at. So I think that's on the former -- on the latter or the denominator, we're always looking to make sure that we do this with discipline. I mean stock-based compensation is certainly is a very real expense. We want to make sure that we're as disciplined as possible with headcount. I'm pleased with the fact that we've been relatively flat on share count over the last six quarters, even though revenue has grown considerably over the same time period. And look, I think it's also been very healthy for company culture. I mean, DoorDash is a company that's quite scrappy in terms of how well we -- how we like to operate and we'd like to continue operating with the same speed and quality.
Ravi Inukonda : Okay, just a couple of points to add, right? Like we've given guidance around both SBC as well as the share count. I mean you can see -- we're focused on driving leverage from a stock-based compensation. I mean it's a true real cost to the business. We've driven leverage last year and expect to continue to drive leverage in that. And from an overall share count perspective, you can see the RSU issuance that we've given, we expect the overall RSUs to come down because it's actually -- SBC is a lagging indicator in some ways.
Ken Gawrelski : Thank you. 
Operator: Our final question today comes from the line of Michael McGovern with the Bank of America. Please go ahead.
Michael McGovern : Hey, guys. Thanks for taking my questions. I have two. First, I want to ask about the partner commission rate, which you mentioned is down year-over-year. Just curious, as you build out all of these new features for partners, you have under 1% churn for restaurants, as you mentioned. Is that rate going down just a function of signing up a lot of new merchants and kind of what is your expectation long term for your partner commission rate?  And then secondly, I was just wondering if you could talk a bit about the advertising business. And when you mentioned in your full year guidance that net revenue margin going up in the second half of the year potentially, does the advertising business contribute significantly to that? So, thank you.
Tony Xu : Sure. Hey, Mike, I'll start and feel free to add in here, Ravi. So on the first question, which I believe is around partner commissions, we're always trying to maximize the value that we bring every single partner, right? And we're fortunate that we've generated lots of sales on behalf of these merchants, and we've spent over $40 billion of R&D, sales and marketing team spend over the past few years in helping achieve that level of sales, which I think would be very difficult impossible for these merchants to replicate on their own. And I think that's why you see that those churn numbers are low and actually, frankly, they continue to get lower.  So for us, it's making sure that we're always delivering more value to these customers such that will continue to grow together. I think there's a long runway ahead before every physical merchant can truly argue and compete on their own as companies in the digital economy. I think we've done a nice job in our first decade of helping the restaurant category get there. But I think we have a lot more work to do certainly within restaurants, and I think we're just getting started outside of restaurants. I think your second question was around ads. Yeah, I mean, the ads business has gone really well. I mean I think that it's not something probably we've talked about that much, but it's certainly grown, I think, commensurate to the size of business that we're at. And for us, again, I think the key operating tenet here is that healthy ads business, we believe, in which it delivers best-in-class industry returns for advertisers as well as -- continues to allow us to have the best consumer experience is one in which we have to have a healthy and growing marketplace. That's what causes or allows the cause for a healthy ads business, not the other way around. And so for us, it's always making sure that we can achieve on those two dimensions where we have the best-in-class returns for advertisers, which we believe we have as well as the smallest or ideally 0 degradation in the consumer experience, which I'm really proud that the team has accomplished. It's done really well.
Ravi Inukonda : Hey, Mike, I'll take your question around the net revenue margin, right? I broaden that just to give you a little bit more context around how I expect the margins to scale through the rest of the year, across both revenue as well as gross margin. I would expect that to increase as we go through the rest of the year. Definitely, to your point, as is contributing to that. In addition to that, I expect us to drive leverage from an overall Dasher cost perspective. We're consistently working on quality.  We're consistently trying to improve the overall efficiency we have on discounts and promos. Again, you should expect us to see drive improvements across the P&L, which will ultimately drive both revenue as well as gross margin, which will also flow through from a contribution and EBITDA margin perspective in the second half of the year compared to the first half of the year.
Michael McGovern : Got it. Thanks so much. 
Operator: Ladies and gentlemen, this concludes today's call. You may now disconnect.